Operator: Good day, ladies and gentlemen, welcome to Papa John's First Quarter 2018 Conference Call and Webcast. At this time, all participants are in a listen-only mode. Later, we'll conduct a question-and-answer session and instructions will follow at that time. As a reminder, this call is being recorded. I would now like to introduce your host for today's conference, Mr. Steve Coke, Vice President, Investor Relations and Strategy. Sir, you may begin.
Steven R. Coke - Papa John's International, Inc.: Thank you, Skylar. Good afternoon. Joining me on the call today are our CEO, Steve Ritchie; our newly appointed CFO, Joe Smith; as well as other members of our senior management team. Steve and Joe will have comments about our business and provide a financial update, after which the management team will be available for Q&A. Our discussion today will contain forward-looking statements involving risk that could cause actual results to differ materially from these statements. Forward looking statements should be considered in conjunction with the cautionary statements in our earnings release and the risk factors included in our SEC filings. Please refer to our earnings release in the Investor Relations section of our website for a reconciliation of non-GAAP financial measures discussed on this call. Finally, we ask any media to be in a listen-only mode since this is primarily an analyst and investor call. Now, I'd like to turn the call over to Steve Ritchie for his comments. Steve?
Steve M. Ritchie - Papa John's International, Inc.: Thanks, Steve, and good afternoon, everyone. Q1, while in line with our expectations, reflects the continued impact of lower sales in North America. We know we can do better and I'm confident that we will. The enthusiasm for our brand and the improvement actions we are taking gives me this confidence. Let me tell you more. I recently completed my first 100 days as CEO. During this time, I have traveled around the country with other members of the leadership team. We have continued to meet with many of our franchise owners, visited numerous restaurants, and talked to a number of our shareholders. We have listened to our stakeholders' ideas and shared our strategic priorities for 2018. The feedback we have received has been very positive and has helped us continue to refine our comprehensive approach to improve the business. We are aggressively working to reinvigorate performance by executing on the five strategic priorities for 2018 that I outlined on our last call. To reiterate, these include, to start with, improving our brand differentiation messaging. We are working to re-establish why our brand is unique by emphasizing our quality story in new ways to better reach our customers. We are the 'Better Ingredients. Better Pizza.' brand, always have been and always will be. And our focus is on the messaging to tell everyone exactly why we are what we say we are. Second, creating accessible value. We will provide a point of access to make our quality products available to everyone. Third, implementing technological advancements. We'll make the additional investments to improve our customer-facing and restaurant technology to support our continued growth in digital sales and create operational efficiencies. Currently, over 60% of our sales are through digital channels and we believe that those results can be significantly higher. Fourth, improving unit economics. We will make important changes within our unit operations to increase efficiencies and unit profitability. And fifth, prioritizing our people. We continue to invest in our most important ingredient, our people, to attract and retain the best Papa John's employees. On today's call, I'll provide a progress report on the actions we are taking in each of these areas as well as some additional changes we are making to accelerate the progress. But first, I'd like to briefly review our first quarter results and then turn the call to Joe for a more detailed discussion. For Q1, our North America comp sales were negative 5.3% and similar to what we saw late in Q4. We expect sales to improve later this year as our new marketing and technology initiatives roll out. Our International comp sales of 0.3% represented our 32nd consecutive quarter of positive comp sales results. Our International results reflect a difficult comp as we were hurdling the best International sales quarter of 2017. Results also reflect some specific business considerations for the segment relating to value perceptions in the U.K. and franchise engagements in part of the Middle East. Our International leadership team has already begun to address these challenges with changes in the U.K. marketing leadership team and additional resource allocation to drive accountability and improve results throughout the Middle East. We continue to see strong sales and transaction growth throughout many regions, including Europe and Latin America. Our new markets continue to perform ahead of our overall average International unit volumes and our global pipeline contains over 1,100 restaurants. The recent opening in Kyrgyzstan represents our ninth new international market in 24 months. We have significant opportunities for robust growth as we continue to expand the brand through our differentiation of quality, technology, and strong unit economics. Our outlook for the International business remains very optimistic. Before turning the call to Joe, I'd like to officially welcome him to his first quarterly results conference call as CFO. As many of you have seen, Joe has over 30 years of experience in finance, development, and auditing and has an integral role in the growth of Papa John's during his 18 years with the company. I have had the pleasure of working with Joe during his time here and believe Joe is not only the right person for the CFO job, but that this is the right job for the person. I know his experience and perspectives will be additive to our work and the new initiatives we have underway. Joe, I'll turn it over to you.
Joseph H. Smith - Papa John's International, Inc.: Thanks, Steve. I'm delighted to take on this new role and look forward to personally meeting many of our investors and analysts in the coming weeks. Now, turning to the quarter. Diluted earnings per share in the first quarter was $0.50 as compared to $0.77 in the first quarter of 2017. The decline in earnings per share was due primarily to lower comp sales in North America. Consolidated first quarter revenues decreased $21.9 million, or 4.9% from the prior-year amount, primarily driven by a decline in North America comp sales of 5.3% and lower North America commissary sales resulting from lower volumes. Offsetting the lower North America sales were increases on the International side due to an increase in equivalent units and the favorable impact of foreign exchange rates of approximately $2.8 million. The first quarter also included an increase in other revenues of approximately $2.7 million, primarily due to the required reporting of franchise marketing fund contributions as revenues under the newly-adopted revenue recognition standard. Domestic company-owned restaurant margins decreased $8.6 million from 2017, or 2.7% as a percentage of related revenues, primarily due to the impact of negative comp sales, increased labor costs, and increased non-owned automobile insurance cost. North America franchise royalties and fees decreased $2.8 million, or 10.1% from the prior-year amount, due to lower comp sales and an increase in royalty waivers. North America commissary margins decreased $1.4 million, or 0.4% of related revenues, due primarily to lower sales volumes. Our International operating margin increased $1.3 million due primarily to higher royalties from increased equivalent units and the favorable impact of foreign exchange rates. G&A expenses increased $3.3 million for the quarter due to an increase in various technology initiative costs, bad debt expense, and higher legal fees. Interest expense was up $3.1 million due to increase in both the outstanding debt balance, which is primarily due to share repurchases, and a higher effective interest rate. At the end of quarter one, our debt balance was $592 million, or 3.3 times EBITDA. Our effective tax rate was 22.3% in the first quarter, which was down 6.3% from quarter one 2017. The decrease is primarily attributable to the reduction of the U.S. corporate tax rate which took effect in January 2018. The decrease was partially offset by an approximate 3.8% increase in the tax rate for share-based compensation tax deductions, which were unfavorable in 2018 due to the lower stock price of the company as restrictions lapsed on equity awards. During the first quarter, we repurchased 2 million shares of stock for $119.7 million. The purchases of the stock included $78 million, or 78% of the total $100 million accelerated share repurchase agreement which we executed in early March. We paid a cash dividend of $7.6 million or $0.225 per common share during the first quarter. Subsequent to the first quarter, on May 2, 2018, our board of directors declared a second quarter dividend of $0.225 per common share. Our free cash flow, which is the non-GAAP measure that we define as cash flow from operations less capital expenditures, was approximately $32 million in quarter one 2018, which approximated the quarter one 2017 amount, as our lower net income for this year was largely offset by higher capital expenditures in the prior year related to the construction of our new domestic commissary in Georgia. I'll now turn the call back over to Steve Ritchie to provide a progress report on our strategic priorities for 2018 and how this progress is driving the reaffirmation of our guidance outlook. Steve?
Steve M. Ritchie - Papa John's International, Inc.: All right, thank you, Joe. And as I said on the last call, it's not business as usual at Papa John's. This is a year of significant change with investments to drive long-term sustained profitable growth for the brand. I promise to be transparent with you so here's an update on our progress for each of the strategic priorities. For starters, let's talk about the improvements on our brand differentiation messaging. You've heard us say, 'Better Ingredients. Better Pizza.' Our brand was founded on this point of differentiation, yet we have discovered our slogan alone is not enough. We must share the undeniable truths that make the brand uniquely special. In the near future, you'll begin seeing creative that brings the meaning back and explains how we define better, things such as fresh original dough, fresh packed sauce, meats without fillers, and pizzas with no artificial flavors or colors. As we continue our journey to revitalize the brand, we are making the change in the Chief Marketing Officer role. Through his research and analysis over the past year, Brandon Rhoten has helped us better understand our challenges and assisted the team in the development of a comprehensive strategic plan to take the brand forward. We appreciate his innovation and efforts and wish him the best after his departure at the end of this month. We will be initiating a search for a new marketing leader that has the necessary skills to execute our strategy with urgency and agility. Given my conversations over these past 100 days and as a franchise owner myself, I know that this company has a lot of upside ahead. But we need to be faster in improving how we communicate and connect with consumers to improve results. In the interim, I will lead the marketing department and will leverage the talented internal and external resources we have at hand to continue moving forward on the brand differentiation messaging and related marketing priorities. I am committed to ensuring that we have a team who can deliver on the promises we make. Which brings me to the second priority for 2018, creating accessible value. Based on research that shows we have opportunities to improve value perception, we have recently launched everyday accessible offer, the $12.99 Papa's Meal Deal and we'll be testing additional offers to ensure we have the most sustainable option for our customers and the brand. This approach will allow consumers to better calibrate the price of our brand, and always choose Papa John's even when times are a bit tight. We're just a month in and we are already starting to see value perception improvements from this work. Research also indicates the same value opportunity exists for us in the U.K., so we are testing consistent value offerings there as well to improve value perception. The combination of better plus accessible value will drive differentiation and access to the brand in 2018, which will result in improved comps and transactions. Third, implementing technological advancements. In pursuit of an even better customer experience that benefits both consumers and our business, our digital and tech teams led by Mike Nettles have made significant progress in the first quarter of this year. We have greatly expanded the size and skill set of our tech teams and have made incredible progress on our stated technical objectives for the year. We have created a number of new consumer insight and analytical capabilities and are beginning field trials of a significant expansion of our industry-leading Papa Rewards loyalty program this quarter. Further, we are nearing completion of a major rewrite of our geocoding platform, which will allow us to reach more customers and serve them better than ever before. And finally, we have launched several forward-facing tech innovation efforts, and we'll be using our highly articulated test and learn model to determine which of these solutions deserve additional focus and investment for the remainder of this year and beyond. All of these efforts are aligned to serve customers better, improving every interaction and every product so that our brand continues to deliver on our better promise to our customers, team members, and our stakeholders. Turning to our fourth priority, improving unit economics. As an operator, I'm especially passionate about this task. We have more resources than ever devoted to driving costs out of the restaurant. I have just mentioned the work Mike Nettles is leading with restaurant technology and, in addition, Sean Muldoon, our Chief Ingredient Officer, has identified numerous opportunities to remove costs from the model. While his work continues, it has already resulted in tens of millions of dollars in reduced pricing to our North America system, all without compromising our superior quality standards. Similar work is being conducted within our international operations where we are developing new, superior quality local suppliers and have created marketing cooperatives to better leverage marketing dollars in that impact. Also, we have hired a Vice President of Unit Economics. This individual comes to us as a former owner and operator of a multi-unit group, where he successfully drove sales and profitability in a high cost market. To-date, he has already made contributions that are leading to changes in the way we market at a local level. Which brings me to our fifth and last focus area, but certainly not our least, and that's making people a priority. We believe in taking care of our people and have aligned our corporate restaurant managers' compensation package with our leadership team. Not only are they incented with monthly bonuses to drive short term results, they are now incented to drive long term results through the annual stock grant announced in February. This has been well received by our operators who are our brand ambassadors and have the most impactful role in our business. In addition, the recent tax reform changes provided us the opportunity to invest more in our teams. Our corporate team members recently received a one-time spot bonus award in appreciation of their efforts as a further evidence of our commitment to making this an even better place to work. Continuing our focus on people, we're also very proud to announce we're working on a program to provide our people with better career development opportunities by expanding our existing tuition assistance program. This partnership will empower our people to pursue a more fulfilling life and career by obtaining a discounted and sometimes free college education. Finally, we have also made good progress on our diversity and inclusion initiatives. There is no doubt that our best ingredients are our people. Like on our pizza, they combine in unique ways to deliver a world-class product. We believe that having a Papa John's family that reflects and embraces the global nature of our brand is the right way to do business and allows us to better serve all customers. As you just heard me describe, we are making good progress, executing our strategic initiatives but we have more work to do. We have recently selected a partner to develop our restaurant design of the future to complement the work we are doing with our brand perception and technology enhancements. Also, we are committing more resources to support the growth engine of our company. Today, I'm announcing changes to our International leadership team. Tim O'Hern is being promoted to President, International and SVP, Chief Development Officer. As President, International, along with his current responsibilities, Tim will now have responsibility for all international restaurant operations. In addition, Jack Swaysland is being promoted to SVP, Chief Operating Officer of International, and will now report to Tim. Both Tim and Jack's 40 plus years of service to our brand as well as their experience and understanding of the International business operation make them uniquely qualified for these very important roles. In closing, I remain optimistic about the future. But let me remind you, many of the investments we are making and their associated benefits will not come online until the latter part of this year. Accordingly, you should expect comps and margins to improve over time. We are reaffirming our outlook because we are confident in the priorities we have set and our ability to execute the strategic plan. With that, allow me to say we appreciate your continued support, and will now turn the call over to the operator for Q&A.
Operator: Our first question comes from Alt Stump with Longbow Research. Your line is now open. If your phone is on mute, please un-mute it.
Alton K. Stump - Longbow Research LLC: Sorry about that, guys. Good afternoon. Sorry for the mistake there on my part. I just wanted to ask, obviously I'm sure that you don't want to give up too much from a competitive standpoint, but so far with everyday value and (19:49) has started to test some of the new – some of the new programs that you've done, as far as touting, of course, high quality of the food, how is that going so far and is there anything that you are learning either good or bad so far in all of the testing that you're doing?
Steve M. Ritchie - Papa John's International, Inc.: Sure, Alton. It's Steve. I'll take that one. I appreciate the question. So, yes, I mean, I think we've done a lot of research and analysis to understand one of our challenges as I've outlined, value perception being one of those. So, we have developed some new creative that did launch in early April. A new look and feel of the creative in addition to a new offering, that being our Papa's Meal Deal. The overall performance of the offer has performed to our expectation and what we're looking at here is more of a long-term play to improve value perception. Early indications are showing improvements in the overall value perception, so this will go alongside the equity work that is meant to do more on the branding side to talk about the brand commitment to 'Better Ingredients. Better Pizza.' and quality. So, I think performing to expectations at this point. Of course, I don't want to get into financial results in the current quarter, but overall, on the value side, meeting our expectations.
Alton K. Stump - Longbow Research LLC: That's helpful. Thanks, Steve. And then just as a follow-up, of course, you've got two competitors that has come out with better numbers, one in particular, here for the first quarter. As you kind of look ahead, how much of your efforts will be to fend off share pressure from your two big peers versus, of course, continue gaining share over smaller players?
Steve M. Ritchie - Papa John's International, Inc.: The way I'd answer that, Alton, I think we have to focus on our brand and what we're doing. And obviously, if you look at the overall industry, smaller and regional players have been – continue to be shared owners to the overall national players. We see that that likely is going to continue. But in terms of our strategy, looking ourselves in the mirror and knowing what our challenges are, I think we have clearly outlined that in our five strategic priorities to address and provide solutions to those problems. I think as we continue to execute upon those things and more things come into the world, the vast minority of those things are in the latter part of this year. So, that's why we have guided the way that we have guided, obviously coming out of the gates with a tough quarter, we have higher expectations as we progress through 2018 here.
Alton K. Stump - Longbow Research LLC: Okay, thank you. I'll hop back in the queue. Appreciate it.
Steve M. Ritchie - Papa John's International, Inc.: All right. Thanks, Alton.
Operator: Our next question comes from Alex Slagle with Jefferies. Your line is now open.
Alexander Russell Slagle - Jefferies LLC: Hey, guys. Thanks. On the softer International same-store sales, are these issues that you think you can remedy in the near-term or should we expect this to linger into the back half as well?
Steve M. Ritchie - Papa John's International, Inc.: Hey, Alex, it's Steve. Thanks for the question. I mean, I think similar to the domestic business, some of the challenges we've got internationally, I think the U.K. being a big lion's share of our overall base of restaurants in the international business, similar challenges that I outlined in my prepared remarks, just in terms of the overall perception. Some of this is more executional-driven, frankly, were below our expectations on the execution side of those things. With the new marketing leadership getting into the role, and obviously some realignment with the new President of International promotion for our current SVP, I think some of these things are going to take some time. So, our expectations are really turning the corner in the back half of the year. Obviously, with the World Cup happening this year that we do have some high expectations around some activations associated with the World Cup to move the overall business forward there. But I think it's going to take some time, but we know we've got the right remedies, we've done the right research and analysis and understand some of the challenges in the U.K. and we know the overall category and the industry in the U.K. is strong. So, it's just a matter of getting the right tactical execution in motion here and I'm confident the new leadership in place will be able to do so.
Alexander Russell Slagle - Jefferies LLC: Got it. And the China, should we still expect the potential refranchising as a near-term event?
Steve M. Ritchie - Papa John's International, Inc.: We are near the goal line on it at this time, and I know you guys have been waiting on this for more than a couple of years here. It's taken well longer than what we ever anticipated it to take, but I think we have found the partner that we think we're going to be able to land with here. I'm not going to make a commitment that it will get done by the end of this quarter, but we're months away. It will happen here this year, there's no doubt in my mind.
Alexander Russell Slagle - Jefferies LLC: Okay. And then finally on the domestic increase in royalty waivers, if you could just touch on the dynamics behind that and how we should think about the potential for a future – for more of these waivers in the future.
Steve M. Ritchie - Papa John's International, Inc.: Sure. Well clearly, obviously, with our sales performance being somewhat unprecedented, at least over the last 14 years we've not experienced negative sales comps. So, when you've got a couple of quarters of sales declines, we've got to keep our franchisees healthy. We know the success and sustainability of our overall brand is really going to be directly tied to the success of our franchisees. So, we have increased some of those waivers. Some of those waivers are directly tied to some of the markets that were underpenetrated in where we've got other challenges that exist. There are higher wage pressures in some of these more underpenetrated markets, so, allocated the vast majority of this relief in those areas. Obviously, getting the overall business moving domestically will help assist those. So, our expectations for the full year right now is that you see built into our overall guidance is the amount of franchise support that we intend to provide. If something changes with our overall performance, obviously we'd have to take another look at the overall level of support that we would provide.
Alexander Russell Slagle - Jefferies LLC: Got it. Thank you very much.
Steve M. Ritchie - Papa John's International, Inc.: Thank you, Alex.
Operator: Our next question comes from Peter Saleh with BTIG. Your line is now open.
Peter Saleh - BTIG LLC: Great. Thanks. I hope you guys can hear me all right. I just wanted to ask real quick about, I think you had mentioned Brandon Rhoten is departing. Could you provide a little bit more details around that decision and where he may be going and the quest to find somebody to fill that seat?
Steve M. Ritchie - Papa John's International, Inc.: Sure. I don't want to give too much color on a personnel change here, but, Peter, I'm happy to give you a little color. I think I first highlighted – as I did highlight in the strategic remark – the opening remarks around what Brandon has assisted us with. So, he really helped us identify the challenges we had, and he really helped and assisted greatly in building the strategic plan on how to move the brand forward. So, the good part is with the change and as we enter into a search for a new individual, we have a strategic plan that we're very confident with. We knew all along that we would be iterating upon some of the tactics, even with our confidence that the strategic plan that Brandon had built. He is going to be exploring some new opportunities here. I don't know where he will land, but I'm certain he will find a place and he will be able to assist a brand greatly. But given the sales challenges we're experiencing in this brand, we need someone that can move quickly and the level of pace and agility that's required in a retail environment that is as competitive as the pizza category. So, we got to a point with the leadership that Brandon brought us to, and will be able to get to the next point to start moving sales and transactions in a positive way to, of course, as I stated before, most importantly to get our franchisees healthy. So, I'm certain we'll be able to find that individual to execute upon the strategy we have built.
Peter Saleh - BTIG LLC: Great. And then I realize that you guys have been testing some new products in the Cincinnati market in terms of sandwiches. Can you give us an update on what you're seeing in that market and if you expect to expand that test to other markets that are close by?
Steve M. Ritchie - Papa John's International, Inc.: Sure. Sure, Peter. And I'll clarify for you because I think that you did pick up on a note from – they said Cincinnati was a test market. Cincinnati has been a heritage market that has had sandwiches for years. It was the only market in the country. So, that product is not the actual product that you probably have heard that we're going to be doing some testing on. There's been some small store tests on that and we'll be looking at some additional markets to test, but the Cincinnati product, again, is a product that we've had in the market for many, many years. But we're going to look at new products, as I talked about on the initial call, to kick off the year. We have to look at diversification and variety within our menu, in addition to many other things, to be competitive in the overall space and this is much broader than the pizza category now. As you think about aggregators broadening the accessibility of delivery, we don't – we do not want to have the veto vote against Papa John's. We know that we have the best quality pizza in the industry, but we've got to make sure and we have the appropriate offerings for our consumers. And we believe that we have developed a tremendous product here that we'll test and learn and we'll see if this goes beyond a few store tests and do something potentially that could be national.
Peter Saleh - BTIG LLC: Great. And then could you just talk about the decision on the value proposition to go with a $12.99 price point? I know some of your competitors out there are $5.99 or $7.99. How are you thinking about this price point being in the double-digit range and how your value perceptions are going to be perceived going forward?
Steve M. Ritchie - Papa John's International, Inc.: Sure. Peter, I'll try to add (29:47). So, I think right now it's in test-and-learn phase. So, the reason why we developed that one, we did a lot of testing and research on multiple offers to better understand exactly what our consumers wanted, what's going to be the best overall offering to provide everyday accessible value. As you can see with that offer, clearly, we wanted something that was differentiated from what our larger competitors offering is, it is clearly that. It's performing to expectation in terms of our overall value perception, but we have to do the postmortem analysis and we do have other offerings, if deemed necessary, that we would insert into the world. But our goal is to have everyday accessible value for the brand and our consumers. So, look to see more of that as we progress throughout the year. Later, in the quarter here, we'll add the layer-on of our equity work which is more on the branding side to differentiate the messaging around the quality of the Papa John's product versus anything else you can get in the industry.
Peter Saleh - BTIG LLC: All right. Thank you very much.
Steve M. Ritchie - Papa John's International, Inc.: Thank you, Peter.
Operator: Our next question comes from Will Slabaugh with Stephens. Your line is now open.
Will Slabaugh - Stephens, Inc.: Yeah, thank you. (31:00) sales trends as well. Is it fair to say that after your disruption in sales that we saw toward the end of last year, that the customer maybe hasn't found either a strong enough value message or brand message to bring them back in more frequently as they used to? Is that the way to think about it? And second, I know you mentioned that with the $12.99 family meal, your value score are improving. But I'm curious how we should think about the timeline in terms of maybe what you've seen in the past on putting a message in place until we see that frequency improve off of that message.
Steve M. Ritchie - Papa John's International, Inc.: Sure, Will. I think – I mean, there's no doubt that – the other thing mentioned in some of the prepared remarks is the consumer sentiment piece. So, as we talked about the sales declines in the fourth quarter, some of those things we expected to continue the first quarter. So, in addition to value perception challenges, we have a temporary issue that we're continuing to work on the brand reputational side related to consumer sentiment. So parallel paths, working on and doing the right reputational work, doing the good things, representing the Papa John's brand and who we are as a brand, and the good things that we do in the communities. And we know we'll get consumers to come back to the brand. On the value side, the work that we're doing there, those are things that take some time, but we have built that into our guidance and our outlook for the full year. We guided towards a tougher year domestically of negative 3% (32:22) to flat. We feel like the outlook that we have on the full year, in the latter part of year we expect significantly improved performance, based on the track that we're on today gives us every indication that we can perform to that kind of level.
Will Slabaugh - Stephens, Inc.: Got it. And just to follow up on the value platform comment that you made earlier. Should we think about that potentially having multiple different price points on it, or multiple items on that platform versus just pushing like we are today, the $12.99? Could you see something with that $12.99 and something at $5.99 or $6.99 or whatever it may be? I guess how broad should we think about your everyday value being versus the rest of your menu?
Steve M. Ritchie - Papa John's International, Inc.: Sure. I don't want to go too far from a competitive standpoint. But I think it's fair to say that the first thing we need to do is cede (33:11) the fact that we have every day accessible value, and that will take some time. We've got to make sure that this is the offer that we're going to carry forward through the postmortem analysis. Once we determine if this is the offer or another offer, we will iterate upon that offer because we want to continue to broaden as we talked about the platform expansion, diversification in menu, so having the right offer that does provide us that opportunity to expand additional offerings whether that be through national television or through our very robust digital channels and the work that Mike Nettles and his team is doing, and working towards one to one marketing and leveraging propensity scores to making sure we're serving up the right offerings to the right customers at the right time. So really being more sophisticated in our marketing opposed to the very broad-brush marketing we have done historically. So, the efforts and the opportunities to leverage those types of infrastructure and data capabilities are again more in the back half of this year.
Will Slabaugh - Stephens, Inc.: Got it. Thank you.
Steve M. Ritchie - Papa John's International, Inc.: Thank you, sir.
Operator: Our next question comes from Chris O'Cull with Stifel. Your line is now open.
Chris O'Cull - Stifel, Nicolaus & Co., Inc.: Thanks, good afternoon, guys. Steve, I appreciate the consumer research shows that value's important, but I'm still struggling to understand why the comp sales remain so weak in North America. Have there been any important consumer segments that have just left the brand and maybe value is not going to work with them regardless?
Steve M. Ritchie - Papa John's International, Inc.: Sure, I mean it's a fair question, Chris. I mean, it's – you don't see negative comp in quarters from Papa John's very often here. So, I mean, as I just stated to Will, so we have some consumer sentiment challenges reacting from what the occurrence in the last earnings call. We know that we've got some things that we need to repair there to start moving the overall business forward. I don't want to get into specific segments, but we clearly have a very robust set of data and analysis. And we know that from a public relations standpoint, social reputation and doing the right things to move the brand forward, consumers will come back, and we know that we also need to make certain that we are appealing to the right target audiences. Millennials and Gen Z is a very important audience for us. We know that we have to make certain, if you take a look at our new advertising, some of these – the new creative and the approach there and our focus on digital efforts is clearly to make certain that we are appealing to younger audiences which will be the future of the overall business. So, I think we've got a multi-phased process on how we're going to move the overall brand forward. And this brand reputational work is very, very critical to moving the overall comp sales forward while we're solving for differentiations in messaging and the value perception and the introduction of all the new technology pieces.
Chris O'Cull - Stifel, Nicolaus & Co., Inc.: Can we expect some other messages or significant changes over the next couple quarters to address some of the reputation issues?
Steve M. Ritchie - Papa John's International, Inc.: I certainly think you can. We just hired a new public relations agency. They came in in February, Olson Engage, and we do have a strategic plan that we intend to implement. We've got a number of tactical things that we've already started on. Bigger initiatives will progress as we move throughout the year and we're very optimistic about how those things will move the overall business forward. But you've got to do the work and you've got to be out in the communities and sharing the things that Papa John's does right. And we've got 3,400 restaurants in the U.S. and that's made up of many franchisees and over 100,000 team members in the U.S., 120,000 worldwide. So, we've got to share those stories and do the right things, one customer at a time. I'm very confident the business will come back, and we have a very, very strong brand that is still very young compared to our competitors in this category. So, the future is bright domestically and the international story is one that clearly has got a lot of runway.
Chris O'Cull - Stifel, Nicolaus & Co., Inc.: The company's guiding for the comp to improve later this year, which I assume is partly because of the comparisons. But what are going to be the challenges or risks to communicating messages during the NFL season this year without the national partnership?
Steve M. Ritchie - Papa John's International, Inc.: Well, I mean there's clearly – we're going to still be involved with the NFL. I mean, it was a great partnership and the only change is we don't have the usage of the marks. So, we still intend to activate against the NFL and we've got some other creative things that the team has been working on so that we can be involved in the NFL in a new way and engage with those consumers, at the same time knowing that we need to attract new audiences. We can't be solely focused on sports or the NFL, we have to be very diverse in our overall creative approach and very diverse in our media strategy. So, I'm excited about the things that we have planned for the back half of this year. Yes, the compares are easier, so it's easy to say that we should be able to outperform those compares, but we can't just expect low compares without changes in the creative and the media strategy to drive the overall business. So, very optimistic, again, as we continue to say the latter part of this year is the reason why because there's so much of this strategic work that we built in 2017, the implementation phases are lined up to be in this latter part of the year.
Chris O'Cull - Stifel, Nicolaus & Co., Inc.: Great. Thanks, guys.
Steve M. Ritchie - Papa John's International, Inc.: Thanks, Chris.
Operator: At this time, I'm showing no further questions. I'd like to turn the call back over to Mr. Steve Ritchie, CEO, for closing remarks.
Steve M. Ritchie - Papa John's International, Inc.: All right. Well, I'd like to thank everybody for joining today's call, and we'll look forward to talking to you next quarter. Have a great day.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This does conclude the program. You may now disconnect. Everyone have a great day.